Unidentified Company Representative: Ladies and gentlemen, thank you very much for joining us for the media briefing for the Fiscal Year ‘25 Q2 Financial Results. About the document to be presented today. Currently it is 13:55, five minutes to 2 o'clock. We have just disclosed the financial results documents, which will be projected on the screen today without any physical documents. However, the PPT or presentation materials are made available at IR page of TMC website for download. We will be starting shortly. Thank you for your patience. Ladies and gentlemen, thank you very much for joining us today. Now, we would like to begin our press media briefing on Fiscal Year ‘25 Q2 Financial Results briefing. I am Eda [ph] from Corporate Communications. It is my pleasure to serve you as your MC today. First of all, I would like to invite General Manager Yamamoto of Finance Division for the outline of the financial results.
Masahiro Yamamoto: We would like to express our heartfelt appreciation to our customers around the world who chose us, as well as our shareholders, dealers, and suppliers who support us. We will now explain the summary of the financial results. Our operating income for the first half of this fiscal year was 2.4642 trillion yen. Despite the impact of production halts and additional expenses, we managed to achieve operating income nearly on par with the same period of the previous fiscal year by strengthening our foundations and improving our business base through everyone's participation. We would like to express our appreciation to our stakeholders, including suppliers and dealers who support us. The full year forecast is 4.300 trillion yen, which remains unchanged from the previous forecast. To strengthen the foundations of car manufacturing, we will increase our investment in human resources and growth areas to 830 billion yen for the full year. Additionally, we aim to maintain and enhance our earnings power through measures such as controlling incentives and increasing value chain earnings while restoring production volume in the second half of this fiscal year. As for shareholder returns, to reward our long-term shareholders and with our policy to increase dividends in a stable and continuous manner, we will raise the interim dividend by 10 yen to 40 yen per share. The forecasted full-year dividend will be 90 yen per share, increased by 15 yen. First, let me explain our financial results for the first half ended September 2024. Consolidated vehicle sales for this period were at 4.556 million units, which was 96% of that for the same period of the previous fiscal year. Toyota and Lexus vehicle sales were 5,029,000 units, which was 97.2% of sales for the same period last year. Due to the impact of halting production to address certification issues, et cetera, sales volume decreased. In addition, the proportion of electrified vehicles increased to 44.4%, mainly due to the strong performance of HEV sales in North America, Europe, Asia, and other regions. Consolidated financial results were sales revenue of 23.2824 trillion yen, operating income of 2.4642 trillion yen, income before income taxes of 2.732 trillion yen, and net income of 1.9071 trillion yen. Net income decreased significantly from the same period previous year, mainly due to valuation losses in foreign currency denominated assets caused by exchange rate fluctuations. This represents the gap between the valuation gains from yen depreciation of the previous fiscal year and the valuation losses from yen appreciation in this fiscal year, so it does not indicate any actual deterioration of the business. I would like to explain the factors which impacted operating income year-on-year. We are steadily implementing investments to achieve sustainable growth together with our stakeholders, as explained at the beginning of this fiscal year. For the first half, we made 180 billion yen in human resource investment and 110 billion yen investment in growth areas. On the other hand, the effects of foreign exchange rates, cost reduction efforts, and marketing efforts increased operating income by 620 billion yen, despite sales volume and sales mix decreased operating income by 140 billion yen due to the impact of halting production. In addition, there were one-time expenses such as the certification issues for HINO MOTORS’ engines in North America markets, leading to a decrease in operating income by 95 billion yen year-on-year. This shows operating income by geographical regions. Japan decreased due to decreasing sales volume and steps to strengthen foundation to suppliers. North America decreased due to deterioration in sales volume and sales mix and increasing labor costs. Europe and Asia increased mainly due to the cost reduction. Operating income in our share of profit of investments accounted for using the equity method in China decreased due to mainly to an increase in sales expenses. Operating income in the Financial Services business increased largely due to an increase in loan balances. Now, shareholder returns. We decided to disclose dividend forecast to create an environment that is more conducive to investment by our shareholders. We will raise the interim dividend by 10 yen from the previous fiscal year, bringing it to 40 yen per share. The forecasted full year dividend will be increased by 15 yen to 90 yen per share. We will continuously increase dividends in a stable and continuous manner to reward our long-term shareholders. Regarding share repurchases, we will not increase the maximum limit as we already raised it by 200 billion yen in September. We will continue to conduct flexible share buybacks in response to the market. Now, I will go on to the forecast for the fiscal year ending March 31, 2025. Taking into account the decreases in sales volume in the first half and recovery in production in the second half, consolidated vehicle sales is expected to be 9.400 million units, 98.9% of the previous forecast. Toyota and Lexus vehicle sales are expected to reach 10.100 million units, 97.1% of the previous forecast. Electric vehicles will account for 46%. Now, for the full year consolidated financial forecast, we have assumed the full year foreign exchange rate to be 147 yen to the U.S. dollar and 161 yen to the euros. Our forecast will be sales revenues of 46 trillion yen, operating income 4.300 trillion yen, income before tax 4.980 trillion yen, net income 3.570 trillion yen. We will strengthen and accelerate investment in human resources and growth areas in the second half of this fiscal year while strengthening our foundations and maintaining our earnings power. The full year forecast remains unchanged at 4.300 trillion yen, but we will strive to make some recovery from temporary negative factors with reinforced kaizen efforts. Our CFO Miyazaki will share the details with you now.
Unidentified Company Representative: Thank you very much. Yoichi Miyazaki, the Executive Vice President and Chief Financial Officer, will explain the background of these financial results.
Yoichi Miyazaki: I am Chief Financial Officer, Yoichi Miyazaki. Although we have maintained our 4.3 trillion yen operating income forecast for the current fiscal year, as mentioned earlier by Yamamoto the Chief Officer of Accounting Group, I would like to explain some initiatives we have been pursuing in connection with changes from our initial plan. This fiscal year, while maintaining our ability to earn 5 trillion yen, we are strengthening and accelerating our investment in people, including suppliers and dealers and investment in growth areas. We are taking such measures a step higher, expanding total investments to 830 billion yen. We further plan to recover from the impact of the decrease in production volume in the first half of the fiscal year and the temporary negative factors related to HINO MOTORS by improvement efforts through activities to strengthen our work foundation. From here on, I'd like to explain our improvement efforts. The first effort is to recover production volume. In the first half of this fiscal year, domestic production volume was 1.53 million units, which was lower than the previous fiscal year's actual results and the initial forecast. This was due to the need to address the certification issues and taking time to re-examine our manufacturing environment and culture, with the top priority on safety and quality. We apologize for causing inconvenience and concerns, but in the second half, we will leverage our uniquely Toyota foundation of car manufacturing that we have regained and aim to recover to 1.75 million units, which is a little more than the initial forecast. Our Indiana plant in the United States, which had partially halted operations, also restarted last month. And in the second half of the fiscal year, we expect to return to an annual global production pace of 10 million units. The second effort is to reduce incentives. Although the COVID-19 pandemic and tight semiconductor supply and demand significantly reduced days inventory, we have been maintaining lean operations by having established a system based on what we have learned and realized. Additionally, through in-store communications that values a trusting relationship with each customer, we have been able to continuously sell every bit of cars at appropriate transaction prices. Due to the appeal of our product and the accumulation of activities efforts in each region, we are forecasting lower sales expenses than initially expected. The third effort is to expand value chain earnings. This graph shows the trend in value chain sales revenues, which have been increasing by more than 100 billion yen each year. A driving force behind this increase in value chain earnings is that our dealers have maintained the touch points with customers, leading the number of units retained significantly. Our steady efforts such as expanding the variety of maintenance packages and the introduction of extended warranties have led to results. Such efforts, which our European business is at the forefront, will be rolled out in other regions. Also, with the increase in SDVs, we will strengthen our hardware and software upgrade services, aiming to stabilize and expand our earnings in new domains. From here, I would like to explain about strengthening our work foundation. Our goal is to shorten lead times company-wide. To achieve this, among other things, we need to eliminate waste, end redoing of work, and make it possible for anyone to get their jobs done. Specifically, amid a shortage of human resources, we have been working company-wide across divisions and functions to create environments in which anyone can work and to improve what we call the rate of value-added work, which is the ratio of work that is truly meaningful, that adds value. There are two main things, I would like to accomplish -- we want to accomplish. The first is to increase the speed at which we can respond to environmental changes in an age that future is hard to predict. And also, second is to improve our fundamental capabilities that will enable us to carry on Toyota's philosophy of leaving no one behind and producing happiness for all, even though the advances in vehicle functionality mean that the full line multi-pathway car making is not easy. As a specific example, we are currently advancing what we call within Toyota AREA 35 project, which aims to improve our rate of value-added work through integrated efforts involving development, production and sales. To meet the diverse needs of our customers around the world, we tend to come up with numerous specifications for our vehicles, but some of them contribute little to sales. By improving our accuracy in forecasting customer needs, we can optimize the number and types of specifications and parts, and thereby expanding the space for finished vehicle production and increasing development efficiency. Although our activities have just begun at our domestic plants, we have managed to create a production capacity of 80,000 units per year and additional development capacity equivalent to three vehicle model redesign projects. Toyota has 54 assembly plants worldwide. Going forward, we will expand our activities globally to create further growth drivers. Our efforts to shorten lead times as a part of our foundation strengthening also enhance the flexibility of our production readiness and project review for electric vehicles to adapt more effectively to changes in actual demand and make last-minute investment decisions. This flexibility is particularly effective where Toyota's strategy includes having all options available, including hybrid electric vehicles, because it maximizes its benefits and strengthens our competitive edge. Since it is the customer who ultimately chooses the product, we are preparing ourselves to build a system that can flexibly accommodate our customers' choices. Internalizing battery technologies will be an important key to advancing the widespread use of our electrified vehicles. From that perspective, we are promoting in-house production of all types of batteries, including ternary lithium, lithium-ion phosphate, and all solid-state batteries. This will enable us to develop optimal batteries for the cars that we want to make. At the same time, an important key factor to any battery development and production is higher production efficiency. We are working to ensure production flexibility, such as common usage of batteries for battery electric vehicles and plug-in hybrid electrical vehicles, so that we can respond to any customers' needs. Because we will ultimately need to internalize production engineering for aptly mass-producing different types of batteries in the same plant and buildings, we made battery manufacturer Primearth EV Energy our wholly-owned subsidiary. It began operations as TOYOTA BATTERY in October 2024, a steady progress in strengthening our work foundation for our battery strategy as well. Finally, Toyota cannot change the future of automotives on its own. We need cooperation from all our stakeholders. To this end, we would like to use the resources made available thanks to our many stakeholders in such a manner to grow together with our customers, shareholders, suppliers, dealers, employees, and local communities. We look forward to your continued support. This concludes my presentation. Thank you very much for your attention.
A - Unidentified Company Representative: Thank you very much. We would like to move on to the Q&A session. Those participants expected to be on the stage, please come onto the stage. Once again, allow me to introduce to you the people on the stage. Executive Vice President and Chief Financial Officer Yoichi Miyazaki. Chief Officer of Accounting Division Group, Masahiro Yamamoto. Chief Officer of Corporate Communications Group, Hiroyuki Ueda. Please be seated. Now, ladies and gentlemen, I would like to open the floor for Q&A. First of all, I would like to entertain questions from those participating in person. After stating your affiliation and name, please start your question. I would like to receive questions from as many participants as possible. I would like to ask you to limit to two questions at the maximum per person. So at the left-hand side of this middle row, Sugito Ouchi-Nichi, Newspaper.
Unidentified Analyst: Thank you for this opportunity. Relating to certification issues or recall that caused volume decrease. And in the first half, you explained that by increasing or recovering the production volume on the full-year basis, you restore the expectations. But how can that be pursued together with your efforts, continuing efforts, to consolidate the strength and the work foundation? You also talked about the creation of reserve capacity and also the rate of value-added work. How can they be pursued simultaneously? I would like to ask Mr. Miyazaki to respond to this question.
Yoichi Miyazaki: Thank you for your question. Going forward, we will recover the production volume. But as we continue to make efforts to improve workplace, how we are going to address the situation in workplace was a question. With the certification issue and quality issue, we have been having clear communication with the workplace, and we were able to confirm to the extent to which we were not able to really become aware of this. After the certification issue, Chairman Akio took initiative in having discussion for TPS. Before that, we have been receiving voices from work sites ourselves staying in the conference room. But with Chairman Akio starting and initiating those efforts, the top executives like ourselves decided to go to the Gemba, that is, work site, not just asking for the issues they are confronted with, we also asked them, what can we do to help you achieve your work? And through those, including the pain points, we made efforts to improve environment, and we came to realize that there are many cases in which we are not able to become aware of the difficulties faced by Gemba people. And that caused some time to be used for that purpose. But since around September this year, this production stabilized in the actual work sites, and we were able to ensure the required quality level. And therefore, since October, striking good balance between work and holidays as well as weekend works, we were able to restore some production volume. So having good communication dialogue with people on the work site, we have been saying that we would bring back to the initial level of the production volume expectation. As I mentioned earlier, the environment in which anyone can make their jobs done and also anyone can take action in the work site are the keys in this. Not ending efforts here, but we intend to continue with those efforts. We would like to pursue both this and the creation of reserve capacity.
Unidentified Analyst: One other question. You already announced that various companies within Toyota Group announced their financial results, including some suppliers, and they are characterized by reduction both top line and bottom line and downward revision of a full year forecast. And what is your assessment of those? As you also mentioned in your presentation, you have expanded to 830 billion yen the investment for suppliers and human resource activities. So on those -- including that, I would like to ask Mr. Miyazaki to respond to that.
Yoichi Miyazaki: Thank you very much. We announced production plan, and as the OEM, we have the responsibility of steadily accomplish those announced plans, and that point was strongly brought on to us in the first half, including secondary and third tier. We should not change the plan once announced [indiscernible]. And also even if the contents were not clear, but we need to implement those plans once announced. So by looking at the results of different companies within the group, we are trying to make every effort to achieve the plans. So by reexamining our position and by restoring the strong capability, we would like to make sure that our initiatives will lead to the joint growth with the suppliers and other companies. About the supplier support, Mr. Yamamoto will explain to you in details.
Masahiro Yamamoto: Thank you for your question. Financial results announced by different entities within Toyota Group, we looked at them, and in the first half during which we halted production, and that really impacted the suppliers. As Mr. Miyazaki mentioned earlier, first of all, in the second half, we'll make sure that we can solidly produce vehicles, and by doing so, we would like to recover the production volume. The support to suppliers is based upon the concept of joint beneficial efforts, and by deciding concrete amounts, we have been conducting efforts since the beginning of this financial year. And in the first half already, it reached 180 billion yen, and 115 billion relates to the support specifically to suppliers, and the amount or numbers are not the only essential factors. That is to say, by us working in the Gemba and participating in improvements, and necessary financial resources for improvement will be spent for that purpose. As you referred to Toyota Times, you may be able to find some specific details, but by ourselves working in the Gemba, in terms of logistic improvement, both incoming goods and outgoing goods, we need to avoid the situation where those will not crash with each other. And also, by making the work easier by introducing some Karakuri-based equipment. In some suppliers, the outdated facilities had brakes broken, but the brake manufacturers are no longer producing those, but in that case, we decided to use the brakes used for RAV4, and that actually worked quite well. So, by us working in the actual work site of suppliers, not just in the primary, but second and third tier suppliers, we were able to actually promote those initiatives. So, not just spending money, but ourselves working together with suppliers is something that we would like you to focus on in observing.
Unidentified Company Representative: Next question, please. Someone in the very first row, please wait for a microphone.
Unidentified Analyst: Thank you very much. I am Yao from Nikkei Deli. Thank you very much for this opportunity. I have two questions to Mr. Miyazaki. Now between April and September, 1.9 trillion, a reduction of 25%. What were the factors behind that? And their business environment has not deteriorated, and against which, why you have posted losses? Actually, about the Chinese market, you were once in a period of endurance. What is your view now? Has it changed, and are there any responses and measures that you have in mind for the Chinese market?
Yoichi Miyazaki: Well, thank you very much. I would like to respond to the first question, the net operating income or profit. Well, something I did not explain the financial results well enough, so let me come back and talk about it. We have foreign currency denominated assets which have been devaluated because of the weaker yen. For example, we have the U.S. dollars in cash as well as subsidiaries within the group lending and borrowing from each other, to and from each other, in a dollar-denominated form. In April and September last year and this year's April, compared, the last year's starting line was 130 yen to the dollar. As of end of September last year, 150 yen to the dollar because of the depreciation of the yen, meaning that our dollar assets, as we evaluate that with yen terms, we inflated that value. Now, this year, 151 yen to the dollar, that was a starting point. Over the past six months, once it hit 160, it's still fluctuating. Today, it's something like 152. 142 or 143 yen to the dollar was the rate in September, so we saw some appreciation of the yen. Last year, yen depreciated, leading to greater profit, and stronger yen this year reduced our operating income. So the total of that was something like 500 billion or 600 billion yen that you have mentioned. Now, it is a matter of how we look at the assets that we have. To reflect that on our Japanese yen-denominated PL, does that mean deterioration in our competitiveness in business? No. This is something that is repeated every year. Something that we experienced as loss this year will be regarded as the profit next year. So it is the very natural course of fluctuation that we have to live with in the world of yen and the dollar. If you're still unclear about it, well, in new forecast, income before tax has been changed as well. Well, actually, if I repeat the same explanation, it'll be a very long lecture, but long term, it's rather stable. It's only a temporary fluctuation because of the ForEx. Now, I would like to talk about China, your second question. Running up to September, our sales was about 90% of the previous year. At the beginning of the year, I talked to you about the endurance about the Chinese market. Well, we really endured, and we somehow managed to achieve this level of sales. And you might have expected a greater drop in profitability, but now, compared to Chinese domestic manufacturers, our level of profitability is on par with them. In the past, we made lots of efforts, and as a result of that, when the competition was not as intensive, we enjoyed the first mover advantage. But now, with this intensifying competition, we still maintain the competitiveness and profitability on par with leading domestic manufacturers in China. So that's the current situation. I might have told you this before. As we look at the needs of the Chinese customers, rather than comfort of ride, they value the comfort of sitting in the car. Actually, there are large households in China with multiple generations. So before going home, many drivers would like to enjoy being by themselves in the car. That's the reason why they look for comfort of being in the car rather than comfort of riding. The parking lots are limited and smaller. Therefore, autonomous driving is of high demand. And since they want to enjoy their time before going home, they do not want to run the engines. So that's an interesting demand from the Chinese market as well. And also, the way Chinese drivers drive, we came to learn that, well, as we make cars globally, stability in high speed in highways is something that you would expect. But Chinese drivers would not speed very much in highways. We came to understand that quite recently. So it's not the Japanese manufacturer making cars for Chinese, but probably it'll be better to enable Chinese people to make better cars for Chinese consumers. That's how we have made our mindset change. So I'd like you to look at us in that perspective, because we are now making preparations for that. After the time of endurance, we will be rebuilding our operations, centering around production, and also make further efforts in maintaining the dealership networks. Currently, including our dealership, we do have customers who own our cars, and we would like them to remain within our channel. And including the value chain activities, we will be making further efforts in that direction. I hope I answered your question. Thank you very much.
Unidentified Company Representative: Now, let me move to the next person at the front row, in the center of the room, please. Hayakawa of NHK.
Hayakawa Shuntaro: Thank you very much for this opportunity today. Thank you very much for this opportunity today. Earlier, Mr. Miyazaki mentioned that in the second half, on the global basis, you will bring to the production volume pace of 10 million. For domestically, you mentioned that you would like to recover production volume by also pursuing reserve capacity of utility. And you also talked about China and North America, you see reduction in operating income. So what is your view and assessment of the U.S. market? And secondly, the presidential election vote opening is going on, and two candidates have different policy for automotive industry. So how do you intend to address those result outcome of presidential election?
Yoichi Miyazaki: About the first question, the North American situation, allow me to respond to that aspect of your question. At this moment, as we conduct production operations, as far as automotive market is concerned, we have not noticed in a straightforward manner any change in the economic activities. As mentioned earlier, thus far, we are taking advantage of what we have learned. We have been continuing lean operation in North America. But because our operation is so lean in North America as well, and since we did have a production halt in Indiana plant, that caused the sales reduction due to the shortage of inventory as well. So that's one aspect. But as I mentioned earlier, in October, the Indiana plant started its operation. It is now in the phase of recovering production volume. Given the current situation in North America starting in the first quarter of next year, probably the production volume can be brought up back to the normal level. And so based upon that, we would like to formulate the plan for the period beyond. Including North America, we did have certification issues or other things from which we made an important learning. This may not be the appropriate way of expressing that, but by having good communication and dialogue with the people working on the work site, we did stumble once. But when we tried to bring ourselves up after the stumbling, we would like to stand up by a step or two steps forward compared with where we were. So those were the things we discussed with the employees on the work site, and because we stumbled, we looked at a new view or scene as well. So learning from that, we would strengthen our capabilities and foundation solidly as we move forward. The second aspect will be responded to by Mr. Ueda.
Hiroyuki Ueda: Your question was relating to our assessment of the outcome of a presidential election. The voting has been reported since the beginning of this morning, and we have been focused on that, observing that. But the actual outcome of this election will be announced sometime afterwards, so we will simply continue to observe very carefully the outcome of this election. But as we always mention, at any rate, no matter what the country's policy or the administration may be, as far as Toyota is concerned, our objective and aspiration is to become the best in town company in that community or in the country. The energy situation varies from country to country, customer needs varies from country to country. So by producing good products that is aligned with the needs and wants of the customers, we would like to deliver those products in a timely manner. So this is the basics that we will continue to maintain without any change. In ultimate analysis, since our products are chosen by various customers throughout the world, but we will continue to support the movement and mobility, the freedom mobility of all the people throughout the world, and we would like to continue such business going forward.
Unidentified Company Representative: Thank you very much. That person wearing a white jacket.
Unidentified Analyst: Thank you very much. I am Sho Nagai from TV Tokyo. I have two questions to Mr. Miyazaki. Number one, as has been mentioned, the investment in people, human resources in second quarter financial results, you have struggled. And at this point in time, what is the intention of increasing your investment in human resources? And also in the United States, reducing the incentives to achieve this year's forecast, the competition is intensifying in North America as well. Although you may have been able to maintain or ensure your inventory, are you very sure about your profitability with the reduced incentives?
Hiroyuki Ueda: Well, I would like to respond to your question. Well, I do not think that we have struggled in the past quarter. 370,000 employees and affiliates of ours worked on Gemba while not being able to build cars. What are the concerns? What are the pain points? What are the improvements? Even when we are not making cars, we are making such efforts, taking a step forward each day and each hour, the efforts to strengthen ourselves, as Mr. Miyazaki mentioned. And the result is 2,464,000 yen or a million yen, a billion yen, excuse me. Actually, this is the very first time that we realized that level of profitability. So this is a result of Gemba force of 370,000 employees as well as our stakeholders. Now, this investment for human resources, as Mr. Miyazaki mentioned earlier, if the management top executives just wait in the meeting rooms that would not solve the problem. We have to visit on-site the Gemba where pains do exist. That's how we would resolve those pain points. And that is something that we started doing. Therefore, compared to the numbers initially expected, we now have additional profitability factor added, and that allows us to make further investment in human resources. Not only within TMC but with subsidiaries and overseas companies, suppliers. We are applying this mindset to all of them, and the numbers you see is the result of that, the result of all that. If I may supplement, for example, if we are to achieve certain numbers this year, are we happy as a management? The answer is no. Because we look at 5.5 million people, stakeholders for elevating this automotive industry in this country. Therefore, investment in human resources is something that we have made decisions on very, very easily. Now, as for the incentive reduction in the United States where the competition is getting more intensive, other companies are increasing incentives. Well, if we do not follow up, so there may be a factor for customers to hesitate to put our products in the shopping cart. So, as we make our plans, we talk with our regional CEOs in terms of their expected sales, and we came to our initial plans for this year. Our product value and strength have not been accentuated in the market. Therefore, we are now confident that we are able to leverage on such product power and attractiveness, and if our competitors would watch what we do, they may follow us soon. Therefore, I think we are confident about incentive reduction.
Unidentified Analyst: Now, about the U.S. market, hybrid vehicles are attracting more attention. Would that also be a factor behind reducing your incentives?
Hiroyuki Ueda: Well, hybrid, as a matter of fact, this is an area we have to do a better job of managing inventory. The inventory level is about half of that of conventional cars, and our customers have to wait for the delivery. But, of course, it means that our hybrid cars are extremely popular, and the profitability level of hybrid vehicles is greater than that of conventional cars. So, from that perspective, I think we are ensuring our competitiveness. Thank you.
Unidentified Company Representative: Thank you very much. At this juncture, I'd like to take questions from the participants online, and we'll come back to on-site participants later on. So, those of the participants participating online, please press the raise hand button on your screen, and when we announce your name, please turn on both the microphone and the video camera. Now, Bloomberg, Inajima-san, please. Inajima-san, can you be connected?
Unidentified Analyst: Can you hear me? Inajima of Bloomberg.
Unidentified Company Representative: Yes, we can hear you.
Unidentified Analyst: The first question, it's been asked earlier. My question also relates to the North American business. Operating income in the April-September decreased significantly from the same period previous year. Please elaborate on the factors behind that. And for the second half, you mentioned that you're going to curtail incentives, but what is the outlook of the operating income for North American market?
Yoichi Miyazaki: Yes, in terms of North American market and the first half, and also the July-September, the reduction in that period was the gist of your question. In North America, to a certain extent, we had recall, and because of those, the production was halted, or there has been some one-time expenses, and in this period, because of that, there has been some significant negative figure you see. And this may not be the appropriate way of putting it, but if that is added back and compared with the capability that we achieved in North America, that capability has been kept. That is to say, the local workers have continued to work on improvement so that their earnings power has been maintained, even with those issues.
Unidentified Analyst: The next question that relates to the strategically held equities, Denso and Aisin, some of those shares have been sold and unloaded, but some group companies do hold substantial shares. So what is the progress made on discussing with those owners of your shares, and to what extent you're going to address those issues, the disposal of those? And is there any chance of reducing that ownership to below 20%? And if you have any specific policy of group holdings of shares, for example, with respect to KDDI, I think you still own 10% or so of KDDI. Do you have in mind further reducing the KDDI shareholdings, for example?
Yoichi Miyazaki: Thank you for your question. As far as Toyota Group is concerned, the automotive industry covers the material industry to new technology, so it is the industry where the comprehensive capability is tested. We announced Toyota's group vision earlier, and both WEFT and WAFT, those woven and Toyota Group consists of those horizontal and vertical lines, and that was mentioned by Chairman. And the lineage that maintains the future in the past and the future is the vertical fabric, and the working with partners is the horizontal. And since this relationship is maintained, there is a solid relationship between Toyota and other companies are maintained. The relationship with the group companies is personal relationship, ownership relationship, or business relationship, and based upon those, constantly we have been conducting conversation and discussion on revision for days. So in Aisin, 20% as was mentioned earlier, has been maintained, and there has been some change. Given that, are we going to reduce the ownership by other entities within group? That is not the case. We do not exclude any options, not just insisting on 20% ownership. And in addition to that, the KDDI or non-Toyota Group companies, and about the shareholding of those companies, it is very difficult for us to share with you the cases involving specific companies. But as we have been mentioning over the years, as we transform ourselves into a mobility company, we need to replace the assets with the living assets, and those relationships is included in that living assets. So to make sure that those assets are actually be conducive to growth and we would like to make sure that we use those assets in that manner. Thank you.
Unidentified Company Representative: Thank you. Let's come back to the venue from the floor. The person who is wearing a gray sweater.
Unidentified Analyst: I am Ikeda from Sankei Daily. My question may overlap with previous questions, but about strengthening your foundation as well as your Chinese business, about your efforts to strengthen your foundation. As Mr. Miyazaki talked about earlier, you have put in place some concrete measures and efforts. You also increased investment and expenses for that. So Mr. Sato, at the beginning of the year, talked about intentional strengthening of the foundation. So is this something that you would expect to be completed before the end of the year? I am sure some activities will continue on, but is this the last year when you invest something like 100 billion yen for that efforts? Because in the first half of the year, you have seen some progress. Before the end of the year, you probably will have completed a major part of strengthening efforts for your foundation. Is that the correct understanding? And about your Chinese business, competitive domestic manufacturers you mentioned, and you are par with them in terms of profitability. Now, as a trend in terms of the profitability, is it true that you have sort of hit the bottom because the hybrid cars are sold quite briskly in China? And you will also add the battery electric vehicles. What will be the mainstay of your profitability in your Chinese market? I would like to learn that, including your outlook for that particular market. Thank you.
Yoichi Miyazaki: Thank you very much for your questions. Now, as for the efforts to strengthen our foundations, will we also expect to increase the expenses for that? Well, actually, I must say, first of all, Kaizen is endless. Kaizen efforts will continue. But of course, the intensity will change over time. For example, if we spend some money, are we done? The question is -- the answer is no. Of course, when our Gemba people are thinking about may actually reduce lead times or achieve some Kaizen with certain level of investment, it's something that we expect out of our spending. Actually, the other day when I visited Gemba, they were using a very heavy machine tool to do their work. Well, we may modernize that to replace that with modern, lighter, same functionality tools. But they could not buy that because of the lack of investment. But then if you replace that, that work can be done with a shorter time. And now that work can be done by female workers instead of muscular or male workers. So whatever the ideas that come out of the Gemba may worthwhile making investment because we can expect concrete outcomes. So that's what we expect to see continuously. I hope you will keep your eyes on our efforts as well. If I may supplement, we would like to build a workplace where people long for working, want to work. Well, understanding that, we now work on improving the working environment. And we continue investing in human resources so that we can build this environment where people feel that they would really like to be a part of. And Mr. Yamamoto mentioned earlier Kaizen is endless. But of course, there are priorities. And we are starting with high priority areas. And certain activities will continue next year as well. Otherwise, we won't be able to build that perfect workplace. Well, the second point, something that we cannot be too sure about is well, depending on the demand in China, there could be some more intensified price competition when the supply exceeds demand. But we have to be careful not to be engulfed in the price competition. That's something that we really want to be conscious about when we work in China. But after all, we also would like to be a brand that is chosen by Chinese consumers. And that will be our ultimate goal.
Unidentified Analyst: Now, as for the strengthening of your foundation, as I listened to your responses, do you think this special efforts will be reduced to ordinary day-to-day Kaizen activities?
Yoichi Miyazaki: Well, if it happens sooner, that would be better, I think. Because after all, as we look back, we really did not have a full grasp of the Gemba. And every time we visit Gemba, there are new learnings. So this effort of strengthening foundation, I hope, will eventually become ordinary Kaizen activities with enhanced communication with Gemba on our part. Thank you.
Unidentified Company Representative: Many people have their hands up, but the time to conclude this session is approaching. So the next one will be the final, last question. The second row from the front, please.
Unidentified Analyst: Thank you very much. Chubu Economic Journal, Katsumata is my name. I also have two questions that I'd like to ask. And I may be asking the question that was already asked, but my question relates to the investment in human resources. And you mentioned that you will be increasing the spending, including those in suppliers. But for covering the entire supply chain, those initiatives will become truly meaningful. So to what extent has this effort permeated through those supply chain overall? What are the remaining challenges? And the second question relates to the domestic production. Earlier, relating to the second half, you mentioned that you're going to restore or recover the production volume. And the figure for the second half is 1.74 million, which is a significantly high number. Earlier, you talked about a work site foundation strengthening through which you identified many issues you weren't aware of in the past. But probably, you may have been faced with a labor shortage or finding difficulty hiring good people. How are you finding that situation overall?
Yoichi Miyazaki: Allow me to respond to the first question. Already, we have explained publicly many opportunities. But right now, throughout Japan, the situation remains quite difficult. The material price increased, the energy price increased, and the labor cost increased. So including that, if Toyota is the only company surviving, the automotive industry will lose its sight. And therefore, we would like to make sure that the conditions will remain strong for the entire industry. With those suppliers with which we have direct business relationship, we are trying to identify what are the challenges they are faced with, what are the pain points. We are carrying out those communications on one by one, face to face. Aligned with the situation of each supplier, we are providing support to them. But at the same time, automotive industry has a very broad supplying industry. And therefore, Toyota alone, working hard, cannot lead the entire industry. And therefore, with the Japan Automobile Manufacturer Association and also Japan Automobile Sales Manufacturer working with us to the Tier 1 companies and also from Tier 1 to Tier 2 with the cooperation of Japan Automobile Parts Manufacturers, we are carrying out activities that could result in the happiness of all 5.5 million people engaged in automotive industry. The issue here is that those initiatives and activities must be continued indefinitely. So there are various difficulties, but we would like to transform this into the sustainable activities that the entire industry can engage in. Allow me to respond to the second question. It's not that this is the concrete measures to address the challenges would suffice. That's not the case. Not just Toyota, but including suppliers. There are certain issues that the automotive industry as a whole should address the issue to overcome the issue. And for us to be allowed that through automation and also creating the work site where anyone can make their jobs done, we need to reduce the number of people required to be hired. And also, that should also result in suppliers to be able to hire the necessary human resources so that the operation can be maintained for the entire supply industry and automotive industry. In the context of a work site foundation strengthening, by having solid communication with the Gemba and looking after those people working on site and helping suppliers strengthen their foundation, we've been able to enhance the retention level of those workers. And therefore, for the second half, I think we now have the outlook that we'll be able to achieve the figure that we set for the second half. But we shouldn't be complacent at this juncture. We must make sure that we make the environment in a situation where people will find it attractive to work at Toyota and wanting to work for Toyota. And for us to be able to do that, voices from Gemba, the employees, and also suppliers, through those, we would like to invest in human resources as well as the growth investment that are needed.
Unidentified Analyst: Thank you very much.
Unidentified Company Representative: Thank you very much for your questions. We would like to conclude the Q&A session. The speakers will now leave the podium. This concludes today's media briefing on our financial results. Thank you very much once again for being with us today.